Cyndi Holt: Good morning. This is Cyndi Holt, Vice President of Investor Relations, and I would like to welcome you to the Tanger Factory Outlet Centers’ Third Quarter 2017 Conference Call. Yesterday, we issued our earnings release, as well as our supplemental information package and our investor presentation. This information is available on our Investor Relations webpage, investors.tangeroutlet.com. Please note that during this conference call, some of management’s comments will be forward-looking statements that are subject to numerous risks and uncertainties and actual results could differ materially from those projected. We direct you to our filings with the Securities and Exchange Commission for a detailed discussion of these risks and uncertainties. During the call, we will also discuss non-GAAP financial measures as defined by SEC Regulation G, including funds from operations or FFO, adjusted funds from operations or AFFO, same center net operating income and portfolio net operating income. Reconciliations of these non-GAAP measures to the most directly comparable GAAP financial measures are included in our earnings release and in our supplemental information. This call is being recorded or rebroadcast for a period of time in the future and as such, it is important to note that management’s comments include time sensitive information that may only be accurate as of today’s date, November 8, 2017. At this time all participants are in listen-only mode. Following management’s prepared remarks, the call will be open for your questions. We ask you to limit your questions to two so that all callers will have the opportunity to ask questions. On the call, today will be Steven Tanger, Chief Executive Officer; Jim Williams, Senior Vice President and Chief Financial Officer; and Tom McDonough, President and Chief Operating Officer. I will now turn the call over to Steven Tanger. Please go ahead, Steve.
Steven Tanger: Thank you, Cyndi and good morning everyone. I would like to start by saying that are thoughts in first like to everyone to effected by hurricanes Harvey and Irma during August and September. Fortunately, none of our employees or their families were physically harmed though many suffered damage to their homes or lost their cars to the flooding. Despite their personal losses, our Tanger team members did a fantastic job under enormous pressure in the preparation response and recovery of eight Tanger assets that were impacted by the storms. Cumulatively, these centers were closed for 22 days during the third quarter, with the impact on local residents and tourists resulting in a significant reduction in traffic and tenant sales in the weeks before during and after the storms. In spite of these devastating storms, we are pleased to report that we beat the consensus estimate for this quarter's AFFO and raised our year end occupancy guidance to a range of 96.5% to 97%. Before I discuss our operating performance and our outlook for the balance of 2017, I will turn the call over to Jim who will take you through our financial results and a brief overview of our recent financing activities. Tom then will update you on our development activities and the leasing environment. Go ahead, Jim.
Jim Williams: Thank you, Steve. Third Quarter 2017 AFFO, available to common shareholders was $0.63 per share. Portfolio NOI which includes NOI for non-comparable centers increased 7.9% throughout the consolidated portfolio during the first nine months of 2017 and 3.8% during the quarter. Over the last five years, our portfolio of net operating income has grown by 49% cumulatively. Our top 15 properties generate nearly 60% of our portfolio NOI. Same center net operating income for these centers grew at a rate of 3.5% during the first nine months of 2017 and 2.5% during the third quarter. We are pleased to have extended our streak of 56% consecutive quarters of consolidated portfolio same center net operating income growth. Excluding the five remerchandising centers discussed in our earnings release, consolidated portfolio of same center NOI increased 1.7% on a year-to-date basis and 1% during the quarter. Including remerchandising centers, same center NOI increased 0.8% on a year-to-date basis and 0.7% during the quarter. Lease termination fees which are not included in the same center and portfolio of NOI totalled approximately 2.8 million for the consolidated portfolio during the first nine months of 2017 compared to 3.5 million for the same period of 2016. Steve will go over our rent spreads momentarily, but first let me provide some color. We believe reporting on a trailing 12 months basis, is more indicative of the actual results of our leasing efforts, represents what is currently included in our same center NOI and is consistent with the rent spreads reported by many of our peers. Our previous method reported leases executed during the period for space expected to commence within the current calendar year. Leases executed during the period that would commence in the following year, were reported in the first quarter of the year of commencement. So, they did not reflect rent spreads for future rent commencements. As most of our leasing efforts have historically been reported in the first half of the year, the number of leases reported in the second half has been easily skewed by one or two leases due to the sub - sample sizes and thus may not be relevant to our actual overall performance. Our spends are also calculated on rents that include both the base rent component and the common area maintenance component. We've been successful in transitioning our portfolio to a fixed-CAM structure with nearly 40% of our portfolio now converted to fixed-CAM and the majority of new deals negotiated around this basis. Both components are heavily negotiated, and each are dependent on the other. Thus, we believe the best reflection of the neat economics of lease transaction on a comparative basis, is considered both components as a whole. This is also a common practice followed by [indiscernible]. We took an impairment charge related to two of our Canadian properties held in an unconsolidated joint venture, in which our share was approximately $9 million. These very small properties one is 99,000 square feet and the other 161,000 square feet located in the Montreal Market and we’re acquired shortly after forming our joint venture with RioCan. Given the challenges that these assets had in competing with the much large center in the market that was developed after our acquisition, we thought it was appropriate to write each asset down to its estimated fair value. The other two centers in our Canadian portfolio [indiscernible] are larger core assets and continue to operate successful. Following last year’s timely conversion of $525 million of floating rate debt to fix interest rates we’ve continued to successfully execute liability management strategies in 2017. We completed a $300 million, 10-year bond offering on July 3, 2017. In August 2, 2017, we used the $295.9 million of net proceeds from this 3.875% offering, to redeem $300 million of 6.125% volume debt that was due in June 1, 2020. We utilized borrowings over our unsecured lines of credit to fund the balance of the $334.1 million required to execute the redemption which included a $34.1 million make hold premium. While the alternative strategy is to manage the treasury risk, in three years would bring in the play market risk, execution risk and spread risk. We preferred the certainty of executing now to take unknown risk off the table. These transactions will increase cash flow by about $6 million annually and AFFO available to common shareholders by about $0.06 per share on an annualized basis. As of September 30, 2017, approximately 91% of the square footage in our consolidated portfolio was not incumbered by mortgages and only $148 million was outstanding under our unsecured lines of credit leaving 70% unused capacity or approximately $366 million. We maintained a strong interest coverage ratio during the third quarter of 4.38 times and a net debt to EBITDA ratio of approximately 6.1 times. Our floating rates exposure represented only 16% of our total debt and 7% of our total interpose value. As of quarter-end, the average term to maturity for our outstanding debt was 6.5 years, the weighted average interest rate on outstanding debt was 3.3% and we have no significant maturities until April of 2021. Our conviction that our shares are undervalued and so strong that we basically employ two-year, $125 million share buyback plan in place. We repurchased 1.9 million of our common shares during the year at a weighted average price of $25.80 per share for total consideration of $49.3 million, most of which was funded by asset sales. This leaves $75.7 remaining under our $125 million of share repurchase authorization. In April, we raised our by dividend by 5.4% on an annualized basis. This was the 24th consecutive year we have increased our dividend or every year since becoming a public company in May of '93. Our current annualized dividend of $1.37 per share is more than double our 2006 dividend which was $0.68 per share on a split adjusted basis. Over the last three years, our dividend has grown at a 30% compounded annual growth rate. Next week we will pay our 98t consecutive quarterly cash dividend of $0.3425 per share to holders of record on October 31, 2017. We expect our AFFO to exceed our dividend income by more than $100 million in 2017 with an expected AFFO pay-out ratio in the mid 50% range, our dividend is well covered. With no new center openings plan for next year, an annual capital expenditures and lease-up costs expected to return to a normalized level of approximately $30 million. We should have ample internally generated cash that maybe used to increase our common share dividend, naturally delever our balance sheet and further reduce floating rate debt exposure, and/or repurchase additional common shares as market conditions warrant. Our conservative mindset has served Tanger well throughout 36 years of economic peaks and valleys maintaining a fortuitous balance sheet and investment grade credit is our way of life. Financial stewardship is a hallmark of Tanger outlets that we do not intend to change. I'll now turn the call over to Tom.
Tom McDonough: Thank you, Jim. Since our last earnings call, we opened our new outlet center Fort Worth, Texas and a major expansion of Lancaster, Pennsylvania center. Both of which opened 93% lease. This is an extraordinary achievement in a challenging retail environment and set forth in this e-mail we received from a tenant shortly after the Fort Worth grand opening. The e-mail read, you're quite welcome my friend, thank you for delivering the product you delivered. How you and your team were able to deliver a new center on time and 92% opened is just shy of a miracle considering the challenges you had to meet. As you probably know the last several new outlet centers that opened fell far short of their projected co-tenancy, covering around the 50% range. I would encourage you to pause for a moment, and ask yourself, why you can deliver when others fail. It is everything to do with tenants wanting to partner with Tanger, trusting that you will deliver on your promise. It has a lot to do with the organization you have developed and how dedicated and loyal they are to the company, its culture and their associates, job well done. Today shopper traffic has been strong and retailer feedback has been positive for both centers. For example, many tenants at both centers reported the sales were 20% to 30% above plan, and a few reported sales greater than a 100% above plan. Our new 352,000 square foot center in Fort Worth opened on October 27. We're very pleased with the tenant mix, Restoration Hardware outlet is a first to market tenant and their store look fantastic with very busy during grand opening weekend. Other tenants that are opened in Fort Worth and they're reporting strong sales include Polo Ralph Lauren, Michael Kors, Nike, Vera Bradley, Columbia and Levi's. The center is located adjacent to Texas Motor Speedway, and within the Champion Circle mixed-use development in Denton County, were the resident population is projected to increase from 800,000 in 2015 to 2.1 million in 2040. Like in many of the centers in our portfolio, we benefit from the attractions of mixed-use development without putting our own capital at risk to develop the additional amenities. In addition to the speedway, champion circle is home to a Marriot Hotel and Conference Center and 18 Whole Championship Golf Course, a Buckeye’s Mega Trial Center and over 200 residential units. Future expansion plans announced by the mixed-use developer include up to 2 million square feet of office space, a large power center and up to 680 additional residential units. Moreover, Texas Motor Speedway post more than 1,300 events annually including two NASCAR Sprint Cup Race Weekend and more Indie Car Series Race Weekend. The Lancaster expansion opened on Labor Day weekend increasing the size of the center by 123,000 square feet or 53% and adding over 20 new brand name and designer outlet stores. The center was already highly productive with stellar tenants such as Coach, Nike, Movado and Talbot. With the addition of upscale brand name and designer tenants opening in this expansion including North Face, Michael Kors, Under Armour, H&M, Columbia and a newly relocated and state of the art Polo Ralph Lauren store, the expanded Lancaster center is even more productive. As of quarter end, $39.2 million remain to be funded to complete these two wholly owned projects, about half of which we expect to fund by the end of this year. Combined, these projects are expected to generated a weighted average stabilized yield of approximately 9.3%. So far 2017 has been a challenging year for retailers, characterized by multiple bankruptcies and store closing announcements. Fortunately, we have no Macy, Sears, K-Mart, J.C Penny or sports authority stores. Our tenants continue to tell us that outlets are their most profitable distribution channel and demonstrated by our success leasing Lancaster and Fort Worth and our 96.9% occupancy many tenants continue to grow their presence in the outlet. Demand for outlets space is coming from the existing retailers interested in opening new stores or upsizing their existing stores as well as retailers that are newer to outlet distribution. In addition to the tenants mentioned earlier, T.J. Maxx, Old Navy, American Eagle, Bath & Body Works, Kspace, Lee Wrangler and Starbucks are but a few of the active tenants in the outlet world at this time. Temporary occupancy is up about 50 basis points over last year, sometimes new tenants will try out the outlet distribution channel by first opening up temporary or pop up stores. These deals give us an opportunity to experiment with up and coming retailers. Vineyard Vines is a great example, they opened their first store in our portfolio in Rehoboth Beach Delaware as attempt in 2011. Today, they are highly productive tenant with eight Tanger stores. We are hopeful that some of our recent temp deal like [indiscernible] turn out to be just as successful in our portfolio. In October, we successfully settled litigation with the state of our former partner in the Foxwoods, Connecticut joint venture. In return for mutual releases and no cash consideration the estate tendered its partnership interest to us. Prior to this settlement, we had 100% economic interest in the consolidated joint venture, as a result of our preferred equity interest and the capital and distribution provisions in the joint venture agreement. Subsequently, on November 3rd, we repaid the $70.3 million floating rate loan, secured by the property with borrowings under our unsecured floating rate lines of credit. This refinancing will result in annual interest savings of approximately $450,000 four hundred or about $75,000 for the fourth quarter of 2017. I will now turn the call back over to Steve.
Steven Tanger: Thank you, Tom. As I mentioned earlier, our consolidated portfolio was 96.9% occupied as of September 30, 2017. Historically, we have maintained both high occupancy and a dynamic line of the most sought-after brand name retailers. At times of the cycle when underperforming brands have shuttered stores, we have capitalized on those opportunities to enhance our tenant mix by filling the space with fresh new brands that our shoppers tell us they want in out centers. While these desirable high-volume retailers have a lower relative cost of occupancy that may impact re-tenanting spreads in the short-term, remerchandising vacant space with high volume retailers has been a successful long-term strategy for Tanger for more than 36 years. Enhancing the tenant mix in this way has historically increased shopper traffic, driven demand from other new tenants and increased future renewal spreads and overall tenant sales productivity. These were our objectives when we made plans to remerchandise five outlet centers this year. All of which are now complete or will be completed by year-end. Our projected unlevered yield is expected to be about 8% on the $20.6 million capital investment. We are not currently forecasting any additional major remerchandising activity in 2018. Six of the new leases executed to-date at these centers to re-tenant 102,000 square feet with high volume retailers required the consolidation of 22 store fronts with an average size of 4,700 square feet to create these larger new store fronts with an average size of approximately 17,100 square feet. Excluding these large format spaces, blended rental rate increased 15.4% on 334 leases renewed or re-tenanted throughout the consolidated portfolio during the trailing 12 months ended, September 30, 2017, totalling 1,404,000 square feet. Re-tenanted space accounted for 278,000 square feet of this space and resulted in an average rental rate increase of 26.6%. Lease renewals accounted for the remaining 1,126 million square feet of executed leases and resulted in an average rental rate increase of 12.2%. To provide an apples-to-apples comparison, to the spreads reported in prior periods, our third quarter year-to-date spreads under the old method were up 10.4% on our straight-line basis or 3% on a cash basis. This compares to our second quarter year-to-date spreads of $11.7 on a straight-line basis and 4.2 on a cash basis. Our leasing team is staying busy, through the end of the quarter we have executed leases or leases in process for approximately 78% of the consolidated portfolio space scheduled to expire this year. In total, including unconsolidated joint ventures, we have executed 2.2 million square feet of leases. During the first nine months of 2017, we recaptured 166,000 square feet within our consolidated portfolio related to bankruptcies and brand wide restructurings by 21 retailers including 24,000 square feet during the third quarter. Currently, we have tenant commitments for about 72% of the 271,000 square feet that we have recaptured since the beginning of 2016. Based on what we know today, we expect to recapture a total of about 200,000 square feet in 2017, up from our previous estimate of 157,000 square feet on August 2, 2017. Four unseen, unforeseen bankruptcy filings during the third quarter caused most of the additional recaptured space. As I mentioned earlier, the good news is that our outlook for year-end occupancy has improved to a range of 96.5% to 97% up from last quarter’s projection of 96%. Average tenant sales productivity within our consolidated portfolio was $381 per square foot for the trailing 12 months ended September 30, 2017, or $400 per square foot on an annualize weighted basis, impacted by hurricane’s Harvey and Aroma, same center tenant sales performance for the trailing 12 months ended September 30, was down 0.9% for the overall portfolio compared to the 12 months ended September 30, 2016. We acknowledge that these are challenging times for many retailers, however with the lowest average tenant occupancy cost ratio among the mall rigs at just 9.9% for our consolidated portfolio. We have been successful at raising rents while maintaining a very profitable distribution channel for our tenant partners, said another way at the rents that our tenants are paying, there is more cushion for store to remain profitable should top line growth slow. Historically, this has resulted in fewer outlet stores vacating when a retailer announces store closings. For example, a tenant that is actively growing in the outlet channel made an announcement earlier this year that they’re planning to close 125 full priced stores and no outlet stores. There are many other examples that illustrate this thesis. In fact, at our recent meetings with tenants, the mood has been more cautiously optimistic, professional with most discussing new stores. Regarding our outlook for the balance of the year, we are revising our full-year 2017 guidance to reflect the anticipated impact of the hurricanes on variable rents and preceding bankruptcy filings during the quarter, incremental termination rent expectations and additional shares repurchased during the third quarter. We currently expect our net income per share to be between $0.61 and $0.65 per share. FFO to be between $2.05 and $2.09 per share and AFFO to be between $2.41 and $2.45 per share. This guidance assumes same center net operating growth of 1.5% to 2% excluding the five outlet centers undergoing remerchandising efforts or between 0.5% and 1.0% including the remerchandised centers. We are assuming no additional bankruptcy filings and assuming the deals we have reached with tenants currently in bankruptcy are ultimately approved by the bankruptcy courts. Other key guidance assumptions include lease termination fees which are not included in same center NOI, totalling $3.9 million for the full year, including our share of unconsolidated joint ventures, average G&A expense between $11 million and $11.5 million per quarter, 94.5 million weighted average diluted common shares for 2017, net income per share and 99.6 million shares for FFO and AFFO per share. The potential for repurchasing additional shares through the balance of the year will be contingent upon market conditions and on maintaining a flexible leverage profile and our investment grade credit rates. Our forecast does not include the impact of any additional financing activity, the sale of any of any outparcels, additional properties or joint venture interests, or the acquisition of any properties or joint venture partner interests. To conclude, our unique business model differentiates us from other mall REITs. Despite bankruptcies and store closing announcements by a number of underperforming retailers, outlets continue to provide the brand value and experience that consumers want and remain one of the most profitable channels of distributions for our retailers. We believe our fortuitous balance sheet, the strength of our core portfolio and our longstanding retailer relationships leave us well positioned to weather the challenges of today’s retail environment and prosper when the cycle turns positive. And now I would be happy to take any of your questions.
Operator: [Operator Instructions] Our first question comes from Craig Schmidt, Bank of America. Your line is open.
Craig Schmidt: Good morning. When does the high volume that you’ve added, when do they start impacting your sales per square foot number?
Steven Tanger: Most of them will are open now or will be opening before year-end, Craig. So, it’s our anticipation that they will kick in with sales volume impacting 2018. We’re also seeing lift in traffic in the centers that we re-merchandized, so we’re hopeful that the strategy will start to kick in with higher sales productivity in 2018.
Craig Schmidt: Okay. And then thank you and my follow up, you talked about mood being cautiously optimistic. Do you think you’ll be hit with fewer store closings in 2018 than you’ve faced in 2017?
Steven Tanger: My crystal balls are little cloudy Craig, I never anticipated 21 bankruptcies and store brand restructurings this year, and that’s why we’ve continue to update our investors as the year progress. My instinct is that there should be fewer, but my crystal balls are cloudy.
Operator: Your next question comes from the line of Caitlin Burrows, Goldman Sachs. Your line is open.
Caitlin Burrows: Hi. Good morning. You mentioned that you’ve leased about 78% of the space schedule to expire so far. So, I’m just wondering first how does that 78% compared versus past years at September 30, when you are three quarters of the way through the year. And then also looking forward how has leasing been progressing for 2018 expirations?
Steven Tanger: The 78% at this time of the year is within a couple of percent as to what it's been in the last couple of years historically at this point in time. And I don’t know the second part of your question, I believe was looking for guidance into next year which we’re not prepared to do.
Caitlin Burrows: Okay. And then also just regarding the new center in Fort Worth, from what I’ve heard from private contacts and in line with what you guys said that the opening there really was extraordinary versus other recent outlet projects that have opened with much lower occupancy. So, just kind of wondering if you could give us any of the driving factors of that success if there was something like competition in the market specifically or it was just the tenure way?
Steven Tanger: Well, first thanks, thanks on ones for your complements and we’re glad to we’re getting positive feedback on our center in Fort Worth. It has been in view of all the press a huge success that tenants are responding positively, we are in active discussion with additional tenants to still the balance of the space which is really exciting in this market. I think there is lots of things that go into a successful site, keep in mind we started planning this site over two years ago. And we got commitments from several large anchor or magnet tenants that let us to start construction, but we maintained our discipline and did not, even though, we thought instinctively that the site was fantastic, we just did not want to move forward until we had at least 60% committed tenants on the site, which we did and that led during the construction to the balance of the lease-up. So, we're delighted if you're going to be at [indiscernible] we’re hosting a group of investors at our center, we’d love to have you come and see it. For those of you on the line that are coming, I look forward to welcoming you and showing you around, but again thanks for your positive comments, Caitlin.
Operator: Your next question comes from Todd Thomas, KeyBank Capital Market. Your line is open.
Unidentified Analyst: Hey, good morning. This is Drew on for Todd today. Just to follow-up on Craig’s question a little bit. You mentioned in your prepared remarks that there has been some increased cautious optimism as it relates to stores. Could you elaborate that - on that a little bit more and maybe give us some specific examples?
Steven Tanger: I prefer not to give you specific examples, because until leases are signed and stores open, it is just conversation. We can - we've been doing this for a long time, 36 years, it's hard to believe. And our pulse of market is that some of the tenants continue to struggle, we certainly acknowledge that it's a difficult retail environment, but this is an interesting business where new people with dreams and great ideas tend to capture the imagination of the consumer and open great stores and grow their business. So, we're in contact with hundreds of different retailers, this is a change in mood, it's not wild-eyed enthusiasm, but we are seeing the change going from big, big negatives to cautious optimism and opening new stores.
Unidentified Analyst: And would you say that these are newer usage for your centers or are they more of the traditional tenants that you had historically?
Steven Tanger: I think, it’s a combination of both, I mean, I'm not going to mention the name, but one of our very high volume, very fine longstanding tenants who is just purchased by another and their first call was to us and we're going to open in the next, I think, three to six months, eight new stores, I mean this is an existing tenant and we've been saying for many, many years that when an acquisition occurs, part of the strategy is to open outlet stores because they usually if executed well, is a cash flow generator to help pay for the acquisition.
Unidentified Analyst: Got it. That's helpful. Thank you. And then just one last one on traffic, how's traffic been recently and how are you guys feeling about the holiday season, I know it's early, but are you seeing any signs of any early pick up in holiday related traffic, and just what your thoughts are there in general?
Steven Tanger: Before the devastating hurricanes, our traffic was trending flat up, which was encouraging to us. We are essentially flat year-to-date in the traffic, in traffic to our centers even after the devastation of the hurricanes. I really don't want to give you any forward-looking statements, but we hope that the National Retail Federation estimated holiday sales increases of 3% to 4% will be accurate. And if that does happen, we anticipate that our traffic will be up. Obviously, we touch wood all the time and hope for a nice cold dry winter. And in the next 45 days we’ll be able to tell, hard to believe it’s only 45 more days till the end of the year.
Operator: Our next question comes from Christy McElroy from Citi. Your line is open.
Christy McElroy: Thank you. Good morning everyone. Steve, just wanted a follow up on Caitlin's question, appreciate you providing us with the spreads on the old basis for comparison purposes it would be great to get that stat on an executed basis going forward as well. If I look at your blended spreads of 5.7% on a cash basis over the last 12 months, given the 3% that you’ve mentioned on an executed basis in Q3, it looks like we should expect that 5.7% from narrow further in the coming quarters based on what you’ve executed? But also, that’s 3% doesn’t seem to include what’s commencing in 2018. Just what’s commencing in Q4. So, just maybe a little bit more color on how we should expect that commence trend to trend to just based on what you’ve already executed?
Jim Williams: Hi, Christy this is Jim. Just to go up to review the time that we made in the prepared remarks, I mean our method has not ever been to report in our supplement to spreads on leases that’s going to commence next year. I can’t say as what we’ve, what we’re seeing for fourth quarter leases there. We expect to open spreads are pretty consistent with what we had in third quarter. And as Steve said earlier, the call really doesn’t want to try to get guidance right now on what space will look like in 2018, we’ll certainly have more information more color on that in our year-end conference call.
Christy McElroy: I guess, it was just really being helpful in terms of just a getting a sense for what the current leasing environment looks like just given how much you’ve been leasing. And I realize that you raise guidance for what you expect the lease action to be at year-end and you also talked about the greater space recapture, obviously at the end of the day it’s the commence occupancy that’s driving NOI. So, I’m wondering do you have your what your commenced occupancy rate was at Q3 and then what you expect it to be at year-end?
Steven Tanger: We’re happy Caitlin to get that granular with you offline. I think that might be more appropriate, I’m sorry Christy, excuse me.
Christy McElroy: That’s okay. And then just lastly just following up on your assumptions for the space recapture. Just it looks like you have 14 [vital location] centers. Can you just disclose the percentage of base rents with the storage comprises? And I know so far, they are liquidating half of their locations. At this point do you know how many you’re getting back if that’s factored into the 200,000 square feet of recapture that you stated?
Steven Tanger: There is still some uncertainty on the 200,000. I think you can respect the fact that we’re based on experience giving an estimate, but I don’t want to go into individual tenant negotiations as you might imagine. So, our best guesstimate big-picture is that we’ll end up the new year with 200,000 back, and as you might imagine, we’re in negotiations with all of the -- with each of the four tenants that declared bankruptcy in the last 90 days and hopefully, the bankruptcy courts will sustain the deals that we are making.
Operator: The next question comes from the line of Omotayo Okusanya from Jefferies. Your line is open.
Omotayo Okusanya: Yes, good morning, everyone. Just a couple from us. First of all, now that you've kind of completed the development pipeline I guess, how should we be thinking about any new developments that you may have over the next 12 to 18 months?
Steven Tanger: Good morning, Omotayo. We've been to this movie before, I just want to remind everybody on the line that between 2008 and 2010, the market was challenged, our retail sales were challenged, and we decided not to develop any new assets during that period. We have announced that there will be no new centers from Tanger in 2018, however, we still have a very active real estate group, monitoring sites all over the country and when we feel the - when we feel we can get an appropriate return on our investment with high quality tenants, we will begin construction again and we will announce sites again, but we're not going to change our underwriting criteria at this time.
Omotayo Okusanya: Okay. That’s helpful. And then number two, again retailers that are in bankruptcy, there is a whole process of renegotiation, without specifically talking about any tenants, could you just talk a little bit about kind of push and pull of ultimately, what are the kind of things they're asking for and what are the things you're kind of willing to kind of “give up” to kind of, to strike a deal in bankruptcy?
Steven Tanger: It's a negotiation just like any other negotiation. We're not prepared to get that granular because every particular lease, every issue is different. So, I’m just not going to answer that.
Omotayo Okusanya: Okay. That's fair. And then another one from us. Guidance, the same-store NOI guidance lowered. Could you talk a little bit about some of the offsetting factors there to kind of end up with Tanger raising the low of end guidance of FFO per share guidance?
Steven Tanger: I think we did in our prepared remarks [Multiple Speakers] the major unforeseen issue of course was the devastating hurricanes, and the amount of time that our properties were closed both before, during and after the event. Closed stores obviously don’t produce any sales which will impact our variable rent and primarily in the fourth quarter, and variable rent is percentage of sales or percentage rents once our tenants reach a certain break point. So, the major component is the variable rent.
Omotayo Okusanya: But what’s the offset of that FFO per share guidance will still increase because all those things negatively impact same store NOI?
Steven Tanger: Well, if you notice, we've lowered our G&A compared to last year. And we are able to get some termination rents which are not in same center NOI guidance. So, and again if you want more detail, we’re happy to talk you about offline, but those are three major components. And the final component is that we have brought back quite a bit of our stocks. So, the share count is down.
Operator: Our next question comes from the line of Floris van Dijkum from Boenning. Your line is open.
Floris van Dijkum: Great. Good morning guys. Steve, I wanted to ask you about the share repurchase, obviously you have about $75 million left and buying stock at a big discount generally locks in a gain and makes a lot of capital allocation sense. Would you look to renew or increase an authorization from the board when you use up that ability? And then also would you look to increase in the fourth quarter the $10 million bought back shares, potentially depending if your shares continue to trade where they are?
Steven Tanger: Good morning, Floris. I’m not going to answer the question with regard to our board deliberations. The management team is executing the stock buyback plan that was approved on an opportunistic basis. Second, with regard to future purchases, I really don’t think the lawyers would allow me to answer that. So, please give me a pass on that question, we don’t want to impact or effect the trading of our stock at all.
Floris van Dijkum: Got it, got it. Fair enough. And then the other sorry, can I have one follow up question as well. If you can talk about the TAMP occupancy, I think Tom you mentioned that it increased 50 basis points from last year. Could you give us with your overall TAMP occupancy is in the portfolio at this point?
Jim Williams : Hi, Floris this is Jim. TAMP occupancy actually right now is about 3.8% that’s usually range in the historically around 3% to 3.5% and rough about 50 basis points this year compared to where we were in the last year. I think by year-end we’ll be similar to that around 3.8%.
Operator: Our last question comes from the line of Christy McElroy from Citi. Your line is open.
Christy McElroy: Hi, just a follow up here. Steve just you mentioned the five-re-merchandising outlet centers, originally, I thought that number was eight earlier in the year. Were there some that were completed or did you pull three out of the pipeline?
Steven Tanger: Hi, Christy. Actually, the original number a year ago was seven. We sold one of our assets in Western Connecticut that we had scheduled for remerchandising. And the second was the one in Tilton, New Hampshire. This strong magnet tenant that was going to lead that remerchandising did not approve the site. So, we don’t build on speculation and we decided just to put those plans on hold.
Michael Bilerman: Hi, Steve it’s Michael Bilerman here for Christy. Just a question on the leasing spreads and leasing numbers. I want to make sure we’re all on the same page. So, the trailing 12 month it’s in the new supplemental of 1.4 million, would take three quarters of this year and fourth quarter of last year in terms of what had been leased. Last quarter, you obviously gave us the first and second quarter of leasing which totalled about 1.2 million square feet and we can go back to the fourth quarter sub from last year and pull out the 183,000 square feet. That totals about 1.37 million relative to the 1.4 million, a difference is only 30,000 square feet and I don't think you lease a lot more than the 30,000 square feet in the quarter. So, I'm just trying to understand the differential between those two methodologies and what's changing?
Steven Tanger: Michael, by the way, I have a large floral arrangement being delivered to your office. Please, don't say, I don’t send you flowers anymore, and I'm going to do my Neil Diamond impersonation for you. I would sing on the call, but I think it would cause a panic on the phone lines. We’d be happy to walk through with you and get as granular as you like. But I am tired now and I think it’s probably best that we do it offline. So, give us a pass on that and Cyndi and our group will be happy to walk through with you.
Michael Bilerman: I appreciate that. I’m excited for the flowers. But I guess you typically in that first quarter always showed that it was like 60%, 65% of the leasing during the year was shown in the first quarter stats, was that always what was executed in -- or executed in the quarter, actually signed deals, or could that have taken to account prior year volumes, and the reason I ask is, given the fact that so much of your business over history at least what was shown in the first quarter, being upwards of 60%, 63% and then another almost 15% in the second quarter, obviously getting a current view of what was executed is important rather than what’s commencing, which is more of a backward looking measure?
Jim Williams: Hey, Michael. This is Jim. I appreciate - we appreciate your comment. We understand where you're coming from. And as Steve said, we would be happy to get more granular with you and discuss it offline. But just as a general note to respond your question, to give you sort of an example, I’m executing leases today that’s going to commence next year, those will show up in the first quarter spreads next year. So, and first quarter -- that’s the old method. That's what you're confused -- I think that’s your question. So those leases…
Michael Bilerman: Right. So, you want to put in like if you executed a lease for this quarter that was commencing September of next year, you wouldn't even put that into the third quarter leasing activity, you would have waited and put that into the first quarter of 2018 leasing activity, even though that we wouldn’t have begun until, let’s say the third quarter of 2018. Is that correct?
Jim Williams: That is correct, Michael. That's exactly right. We were trying to match the execution and opening within the same year, but give it to you when it was executed, as long as it's in that year.
Michael Bilerman: So, the reality was you weren’t having 63% of your leasing being executed and done in the first quarter, a lot of that have been done, it was much more smoother during the year in terms of the volume of leasing that you were doing, is that a fair assumption?
Jim Williams: That is a fair assumption, Michael.
Michael Bilerman: And do you have the breakout hit by history of what it actually, what leasing you were doing every quarter? I apologize, covering Tanger for 20 years, I probably should know the answer to that, but I didn’t.
Jim Williams: Respectively I think it’s we can take these questions offline, we’re happy to walk you through the detail.
Michael Bilerman: Okay. Thank you.
Operator: We do have a follow up question from the line of Caitlin Burrows, Goldman Sachs. Your line is open.
Caitlin Burrows: Hi, good morning. Sorry, just one more quick one. It was excluded for the adjusted or normalized FFO. But your results make it look like you actually had a gain albeit a small $99,000 related to abandoned redevelopment cost. So, I was just wondering if you could clarify if that’s true and if so, what was driving that?
Jim Williams : It wasn’t a gain Caitlin, this is Jim again. As part of that project there were some if we decided to walk away, there were some costs that we would incur to reimburse subtenants for their legal works. So, we had some reserves that we are accrued that ended up a little bit more than we needed and that’s just the reversal of that reserve.
Operator: No further questions. Back to presenters for closing remarks.
Steven Tanger: Again, I want to thank everybody for their time and their interest. We remain delighted to welcome your phone calls after this conference call to answer specific questions you like. We look forward to seeing you in four weeks next week, we got some great Texas Barbeque. And thank you for your interest. Good bye and good luck.
Operator: This concludes today’s conference call. You may now disconnect. Thank you.